Operator: Good morning and welcome to Fairfax’s 2025 first quarter results conference call. Your lines have been placed in a listen-only mode. After the presentation, we will conduct a question and answer session. At that time to ask a question, please press star, one on your telephone keypad. For time’s sake, we ask that you limit your questions to one. Today’s conference is being recorded. If you have any objections, you may disconnect at this time. Your host for today’s call is Peter Clarke with opening remarks from Mr. Derek Bulas. Derek, please begin.
Derek Bulas: Good morning and welcome to our call to discuss Fairfax’s 2025 first quarter results. This call may include forward-looking statements. Actual results may differ, perhaps materially from those contained in such forward-looking statements as a result of a variety of uncertainties and risk factors, the most foreseeable of which are set out under Risk Factors in our base shelf prospectus, which has been filed with Canadian securities regulators and is available on SEDAR. Fairfax disclaims any intention or obligation to update or revise any forward-looking statements except as required by applicable securities law. I’ll now turn the call over to our President and COO, Peter Clarke.
Peter Clarke: Thank you Derek. Good morning and welcome to Fairfax’s 2025 first quarter conference call. I plan to give you some highlights and then pass the call to Wade Burton, our President and Chief Investment Officer of Hamblin Watsa, to comment on investments, and then Amy Sherk, our Chief Financial Officer to provide some additional financial details. I am very pleased to welcome Amy, who is joining us on her first conference call. We had a strong start to 2025 with net earnings of $946 million in the first quarter, up from $777 million in the first quarter of 2024. Operating income from our insurance and reinsurance companies adjusted to an undiscounted basis and before risk margins was $686 million in the first quarter of 2025, down from $977 million in the first quarter of 2024. The decrease was from lower underwriting income due to California wildfire losses of $692 million. Despite the significant catastrophe losses in the quarter, $781 million in total, our insurance and reinsurance operations produced an underwriting profit of $97 million. Our interest and dividend income was $607 million in the quarter, up from $590 million in the first quarter of 2024, while our share of profits of associated was flat at $129 million. Net gains on investments were very strong in the quarter at just over $1 billion. All in, our book value per share increased to $1,080 in the first quarter of 2025, up by 3.5% adjusted for our $15 dividend. Our insurance and reinsurance companies are in great shape, writing over $33 billion of annualized premium worldwide. We benefit greatly from our scale, diversification and exceptional talent and experience of our long-serving presidents and teams that run our insurance and reinsurance companies, and nothing was more evident than that in this quarter. I will now give you some additional detail on the components of our net earnings for the quarter. Our consolidated investment return was strong in the first quarter with the return of 2.7%, driven by increased interest and dividend income, stable profits of associated, and strong net gains on investment. Consolidated interest and dividend income of $607 million was up 2.8% year-over-year, benefiting from a growing investment portfolio partially offset by lower interest on the mortgage portfolio. Profits of associates of $129 million in the quarter continues to be driven by Eurobank and Poseidon Corp., offset by losses on the [indiscernible] from mark-to-market unrealized losses in its portfolio. In the quarter, we had net gains on investments of $1.60 billion driven by gains on our equity exposures of $780 million, gains on our bond portfolio of $388 million primarily from U.S. treasuries due to the decrease in interest rates in the first quarter, and that was partially offset by losses on other investments of $112 million, primarily reflecting unrealized losses on our preferred shares in Digit. The net gains of $779 million on our equity and equity related holdings were driven by realized gains and unrealized mark-to-market gains on Orla Mining, Sigma, our Fairfax TRS, offset by unrealized losses on IIFL Finance, Cleveland Cliffs, and Kennedy Wilson. In the first quarter, we sold our position in Sigma and realized a gain of $179 million. Our original cost was $49 million. We have always said, and please remember our net gains or losses on investments only make sense over the long term and will fluctuate from quarter to quarter, or for that matter year to year. More on investments from Wade. As mentioned in previous quarters, our book value per share of $1,080 does not include unrealized gains or losses in our equity accounted investments and our consolidated investments which are not mark-to-market. At the end of the first quarter, the fair value of these securities is in excess of carrying value by $1.4 billion in unrealized gain position or $66 per share on a pre-tax basis. This is after realizing a gain on Sigma of $179 million, which was sold in the first quarter of 2025. In the first quarter, net earnings included $120 million net unrealized gain due to decreasing interest rates in the period. This consisted of unrealized gains on our bond portfolio of $388 million, which I previously mentioned, offset by the negative impact of the decrease in interest rates on our insurance and reinsurance contracts held of $268 million. For the first quarter of 2024, this number was a net loss of $127 million. Our insurance and reinsurance businesses wrote $8.4 billion of gross premium in the first quarter of 2025, up 5% versus the first quarter of 2024. Our North American insurance segment increased gross premiums by $138 million in the first quarter of 2025, or 6.7% over the first quarter of 2024. Crum & Forster continued to grow its specialty business with double-digit growth of 12.8% driven by its accident and health business, commercial and executive segment, and surplus and specialty lines. Northbridge was up 1.9% in Canadian dollars, reflecting continued strong customer retentions and continued rate increases, while Zenith’s premiums were down 1.8% over the first quarter of 2025 due to the continued competitive workers compensation market. Our global insurer and reinsurer segment was up 7.8% with gross premiums of $4.7 billion in the first quarter of 2025 over the first quarter of 2024. Allied World’s premium was up 7.8% in the quarter with gross premiums of almost $2.2 billion. The reinsurance segment was up 17% from new and renewal business and reinstatement premium from the California wildfires. Its global markets insurance premium was up 6% primarily from new business, while its North American insurance segment was down 2.1% primarily from the competitive program in cyber markets. Odyssey Group’s premiums were up 7.9% in the quarter with gross premiums written of $1.5 billion. Its reinsurance business was a driver of the growth, primarily in the United States, and it also benefited from the reinstatement premium on the California wildfire losses. Hudson premium was down with actions taken on its crop and healthcare lines of business. Brit’s gross premium was $781 million, up 7.4% in the first quarter of 2025 versus the first quarter of 2024, primarily driven by increases in their reinsurance segment and property and specialty business. Like Allied World and Odyssey, Brit also had additional premium in the first quarter from reinstatement premiums. Beginning in 2025, Ki Insurance, an algorithmic follow-on Lloyd’s syndicate developed within Brit, was officially separated from Brit. Ki will operate as a standalone company and will be reported separately going forward. With annual premiums approaching $1 billion, Ki was requiring more of Brit’s resources, and with a different business model, it was thought it would be beneficial for Brit and Ki to split. In the first quarter of 2025, Ki wrote $204 million of premium, up 9.5% from the first quarter of 2024. Our international insurance and reinsurance operations gross premiums were $1.5 billion, down 5.1% in the first quarter of 2025 versus the first quarter of 2024. The decrease was driven by the non-renewal of a significant contract at Gulf Insurance that had been experiencing diminishing performance. On a net written premium basis, premium was up 7.7% as the effect of the non-renewal had much less effect on a net basis. Excluding Gulf Insurance, our international operations gross premiums were up 8% with Fairfax Asia up 16%, driven by Singapore Re, while [indiscernible] and Polish Re also had strong growth in the quarter, up 15% and 16% respectively. Our international operations now make up approximately 20% of our total gross premiums, and the long term prospects of our international operations are excellent and will be a significant source of growth over time, driven by excellent management teams, underpenetrated insurance markets, and strong local economies. The big driver affecting our underwriting results in the quarter was the California wildfire losses. In the quarter, we recorded $692 million of net losses from the fires, which was within the range we’d previously disclosed on our year-end conference call. The majority of the losses came from the reinsurance operations at Odyssey, Allied, and Brit. The losses were absorbed by the first quarter cat margin and underwriting income resulting in a consolidated combined ratio of 98.5 in the quarter. The ability to withstand such a large catastrophe loss in a quarter while still producing an underwriting profit in the quarter demonstrates the strength and scale of our insurance and reinsurance operations. Our global insurers and reinsurers posted a combined ratio of just over 100%, which included the majority of our consolidated catastrophe losses in the quarter. $748 million out of total catastrophe losses of $781 million were within the global insurer and reinsurer segment. Allied World had a combined ratio of 95.7, which included 15.3 points of catastrophe losses. Brit’s combined ratio was 97.6 with 21.4 points of catastrophe. Ki was 98.3 with 8 points of cat, and Odyssey had the largest losses on the California wildfires, posting a 105.8 combined ratio and included 29 points of catastrophe losses. Our North American insurers had a combined ratio of 95.5 for the first quarter, led by Northbridge with a combined ratio of 92.1. Crum & Forster had an underwriting income of $50 million or a combined ratio of 95.4, while Zenith, our workers compensation specialist, who are feeling the effects of multiple years of price decreases in the workers comp space, had an elevated combined ratio of 106.3, representing an underwriting loss of $11 million. Our international operations delivered a combined ratio of 96.7 for the quarter. Fairfax Asia had a great start to the year with a combined ratio of 93.6 with all its companies producing an underwriting profit, except for Falcon Thailand. Falcon Thailand had a combined ratio of 105.3, adversely affected by nine points of losses from the devastating earthquake in Myanmar that also affected Thailand. Latin America had a strong quarter with each of their companies coming in under 95%, producing a consolidated combined ratio of 94.1. Colonnade, who writes business across Eastern Europe, had another great quarter at 91.3, and Bright [ph] in South Africa posted a 96.2. Gulf Insurance, the largest company in our international operations, had a combined ratio of 99.4 in the first quarter, negatively affected by the large losses in the quarter and the expense drag from the loss of a large contract in its Kuwait operations. We are confident they will return to their historical sub-95 underwriting results going forward. In the first quarter, our insurance and reinsurance companies recorded favorable reserve development of $219 million for a benefit of 3.5 points on our combined ratio. Each of our major segments recorded favorable reserve development with releases primarily coming on short tail property business. We are focused on setting our ongoing reserves at conservative levels, especially on long tail lines. Through our decentralized operations, our insurance and reinsurance companies continue to thrive, writing over $33 billion in annualized gross premium, strong underlying margins, and as we said before, led by our exceptional management teams. Our companies are positioned very well to continue capitalizing on their opportunities in their respective markets in 2025. I will now pass the call to Wade Burton, our President and Chief Investment Officer of Hamblin Watsa to comment on our investments.
Wade Burton: Thank you Peter, and good morning. There is volatility in the stock markets, bond markets, and the economy. The good news is Fairfax has historically benefited from volatility, and to end the first quarter of 2025, we think our stock and bond portfolios are in great shape for the environment we’re in. Here’s why. Starting with our $48 billion fixed income portfolio, $33 billion is in government treasuries with what we think is the right duration to lock in a significant amount of interest income, but short enough that we can capture the opportunity if rates move up. Duration is 3.3 years and book yield is 5.1%. Government bonds are the safest, most liquid, easiest to sell securities, and they are 70% of our fixed income portfolio. Second, out of a $69 billion investment portfolio, we have $5.9 billion invested in mark-to-market stocks, less than 10% of the total, and we think our stocks are for the most part cheap, financially sound, and well positioned to weather any storm. Third, our associated and consolidated investments are carried at $10 billion, so 14% of the total investment portfolio. This includes $2.4 billion in Eurobank and $1.9 billion in Poseidon. Eurobank is very sound and cheap and run by a great CEO in Fokion Karavias, who also has a great team supporting him, including his right-hand man, Kostas Vassiliou. Greece is growing much faster than the EU average and has an outstanding government in place. Poseidon is a financial and operating company in the shipping business with long term contracts backed by financially strong customers with outstanding balance sheets. We believe we have great visibility into the earnings of these two holdings, which are almost 40% of associates and consolidated investments, and like Fairfax itself, both companies generate a lot of capital. In 2024, net income of Eurobank was €1.5 billion, and net income of Poseidon US $600 million. A reminder, we own 32% of Eurobank and 43% of Poseidon. Both also have the same mindset as Fairfax in terms of benefiting from volatility. The worse it gets, the better they will perform over the long run. Our outstanding investment team is on the lookout for opportunities and watching our investments closely. There is much apparent uncertainty coming from the tariff negotiations and many companies are struggling with constantly changing numbers. It’s tough to buy and price products with tariffs changing day-to-day. We have looked at our universe of investee companies under this view of uncertainty and think all will thrive over the long run. Our long term investment horizon and lack of call on our capital is a huge advantage in uncertain times. Lastly, we have a lot of cash. We have $2 billion in cash and investments at the holding company. We also have $8 billion in cash and short term treasuries at our operating companies. To summarize, between the cash, the durability and capital production of our investee companies, the small percent of our portfolio in mark-to-market stocks, and our very safe and high earnings fixed income portfolio, we think we are in good shape to weather these uncertain times and then take advantage of them. I will now pass it over to Amy Sherk, our CFO.
Amy Sherk: Thank you Wade. I’ll begin my comments by discussing the impact changes in interest rates had on our consolidated statement of earnings in the first quarter of 2025, and specifically the effects it had on discounting of prior year net losses on claims and our fixed income portfolio. Net earnings of $946 million in the first quarter of 2025 included a net benefit of $120 million, reflecting the effects of decreases in interest rates during the quarter, which was comprised of net gains on bonds of $388 million, primarily unrealized, that was partially offset by a net loss reported on insurance contracts and reinsurance contracts held of $268 million. Comparatively, net earnings of $777 million in the first quarter of 2024 included a net loss of $127 million, reflecting increases in interest rates, which was comprised of net losses on our bond portfolio of $319 million, primarily unrealized, that was partially offset by a net benefit on insurance contracts and reinsurance contracts held of $192 million. When you compare the year-over-year change on a pre-tax basis, the changes in interest rates resulted in an approximate $215 million movement in our pre-tax earnings. With the adoption of IFRS-17 generally, an increase-decrease in interest rates will result in a decrease-interest to the carrying value of both the company’s fixed income portfolio and net liability for incurred claims for insurance contracts. While the change to the carrying value of each will not necessarily be equal in magnitude, when there is movement in interest rates, the impact on our company’s net earnings is mitigated. Please refer to Page 31 of the MD&A within the company’s interim consolidated financial statements for the first quarter of 2025 for a table that presents the company’s total effects of discounting and risk adjustment on our net insurance liabilities, and the effects of changes in interest rates on the company’s bond portfolio set out in a format the company believes assists in understanding the company’s net exposure to interest rate risk. A few comments on our non-insurance companies during the quarter. Non-insurance companies reported an operating loss in the first quarter of 2025 of $41 million compared to an operating income of $17 million in the first quarter of 2024. Excluding non-cash impairment charges recorded at Boat Rocker in relation to its recently announced strategic transaction with Blue Ant and certain members of the Boat Rocker management, the non-insurance companies reported stronger operating income in the first quarter of 2025 compared to the first quarter of 2024, principally reflecting increased operating income at the restaurants and retail operating segment, primarily related to the consolidation of Sleep Country on October 1, 2024 and higher business volumes at Recipe. A few comments on transactions within the quarter. On March 23, 2025, Boat Rocker entered into definitive agreements whereby Blue Ant will become a public company via a reverse takeover of Boat Rocker, pursuant to which Boat Rocker will acquire all shares of Blue Ant by exchanging 1.25 Boat Rocker shares for each share of Blue Ant. Concurrently, Boat Rocker will sell certain of its production and distribution assets to a privately owned company controlled by certain members of Boat Rocker’s management. As a result, Boat Rocker recorded impairment charges in the first quarter of 2025. Closing of the transaction is subject to various conditions and is expected to be in the second quarter of 2025. Upon closing, the company expects to apply the equity method of accounting to its investment in the surviving company. On March 28, 2025, the company sold its equity interest in Sigma, a water and wastewater infrastructure business that the company accounted for under the equity method of accounting, for total consideration of $327 million comprised of cash consideration of $284 million and a retained ownership interest in Sigma through a new limited partnership interest of 16.1% with a fair value of $43 million at closing. As a result, the company recorded a realized gain of $179 million in its consolidated statement of earnings and classified its 16.1% retained ownership interest at fair value through profit and loss. During the first quarter, Recipe repurchased and canceled its common shares not owned by Fairfax, which increased Fairfax’s ownership interest in Recipe from 84% to 100%. Recipe increased its borrowings by $132 million to partially fund this repurchase. Subsequent to March 31, 2025, on April 21, 2025 Quess spun off two of its subsidiaries in a non-cash distribution to its shareholders. The company received one equity share of each of Digitide Solutions and Bluspring Enterprises for every equity share of Quess it held. The company has recorded its investments in Digitide and Bluspring at their respective fair values on the date of spin-off, and we expect to apply the equity method of accounting to each and will continue to apply the equity method of accounting to our remaining investment in Quess. Digitide and Bluspring are expected to become publicly listed in India during the second quarter of 2025. I will close with a few comments on our financial condition. Maintaining an emphasis on financial soundness, at March 31, 2025 the company held $2.1 billion of cash and investments at the holding company, had $200 million of its $2 billion unsecured revolving credit facility drawn to supplement short term holding company liquidity, and the holding company also continued to own additional investments in associated and consolidated non-insurance companies with a fair value of approximately $1.7 billion. Holding company cash and investments support the company’s decentralized structure and enable the company to deploy capital efficiently to its insurance and reinsurance operations. At March 31, 2025, the excess of fair value over carrying value of investments in non-insurance associates and market traded consolidated non-insurance subsidiaries was $1.4 billion, compared to $1.5 billion at December 31, 2024. The pre-tax excess of $1.4 billion is not reflected in the company’s book value per share but is regularly reviewed by management as an indicator of investment performance. The company’s total debt to total capital ratio excluding non-insurance companies increased to 25.3% at March 31, 2025 compared to 24.8% at December 31, 2024, primarily reflecting the company’s $200 million draw on our revolving credit facility and redemption of all of Series F, E, N and M preferred shares, partially offset by increased shareholders equity. The preferred shares were redeemed for CA $419 million or US $291 million, and we recognized a $61 million foreign exchange gain in equity. Common shareholders equity increased by $356 million to $23.3 billion at March 31, 2025 from $23 billion at December 31, 2024, primarily reflecting net earnings attributable to shareholders of Fairfax of $946 million and other comprehensive income of $111 million, primarily related to unrealized foreign currency translation gains net of hedges as a result of strengthening of foreign currencies against the U.S. dollar. This was partially offset by payments of common and preferred share dividends of $353 million and purchases of 205,610 subordinate voting shares for cancellation for cash consideration of $289 million, or US $1,406.49 per share. Lastly, book value per basic share was $1,080.38 at March 31, 2025, compared to $1,059.60 at December 31, 2024, representing an increase per basic share in the first quarter of 2025 of 3.5% adjusted for the $15 per share common dividend we paid in the first quarter. That concludes my remarks for the first quarter of 2025. I will now turn the call back over to Peter. Thank you.
Peter Clarke: Thank you Amy. We are now happy to take on any questions you might have.
Operator: Thank you very much. [Operator instructions] Our first question is from Nik Priebe with CIBC Capital Markets. Sir, your line is open.
Nik Priebe: Okay, thanks. I’m wondering if you could talk in a bit more detail about how Poseidon might be impacted by the disruption in global trade. My understanding is the business of their customer base is highly sensitive to global trade flows, specifically shipment of goods between China and the U.S., and I recognize the contracts are long duration, but does lower shipping demand translate to lower charter rates at renewal and lower residual values for containerships sold on the secondary market? I’m wondering if you can just help us better understand what the primary risks are to that business if trade flows do slow dramatically between China and the U.S.
Peter Clarke: Thanks Nik for that question. No, we’re quite excited about the prospects of Poseidon. Like you said, they have long term fixed contracts in place for many, many years, and they have new production coming on board. Talking to the management team, they are quite confident that the tariffs will not have--and uncertainty, economic uncertainty around the world will not have any significant effect on their business. The management team is outstanding and by locking in these contracts, it was a huge plus for them, so we’re very excited about the prospects of Poseidon. Next question, please?
Operator: Our next is from Stephen Boland with Raymond James. Your line is open.
Stephen Boland: Good morning. Just wanted to talk a little bit about California. When you see these events and the magnitude of losses, does this make you want to revisit your reinsurance coverage, and why or why not?
Peter Clarke: Thanks for the question. The California wildfire, it was a significant event, and we think probably close to a $40 billion industry loss. We take most of our exposure on the reinsurance side, cat exposure that is, and we like it that way. We like that in our minds, it’s easier to control, we know what limits we have outstanding, and our companies do a really, really good job measuring their exposure and making sure it’s within their risk tolerances. An event this size, the loss we had was well within our risk appetite and in the range we expected, but if you look at the underlying results in the quarter, after a significant event like this, we were still able to produce $100 million underwriting profit, which again just shows the strength and scale of our insurance and reinsurance operations globally. Next question, please?
Operator: Our next is from Tom Mackinnon with BMO Capital. Your line is now open.
Tom Mackinnon: Yes, thanks. Good morning. With lots of holdco cash here, just wondering how you would prioritize deployment of it. You’re buying in some press [ph], would you look at buying in the remainder here, buying in some minority interests? You’ve done some, would you look at buying in more, and buying back stock? If you could remind us of your priorities there and any comments. Thanks.
Peter Clarke: Thanks for the question, Tom. You’re exactly right - you laid out a lot of the capital allocation decisions that we look at. Number one is our financial strength, and as we’ve always defined it, we want to keep that cash and marketable securities in the holding company. We want to make sure we have no short term maturities, debt maturities, so nothing significant for three years, and then we like to have that $2 billion credit facility, so that’s how we look at financial strength and then well capitalized insurance companies. Second thing, we have about $500 million of preferred shares that are coming up at the end of the year - we’re going to look at that. We took out our preferred shares in the first quarter and late in December. On the acquisition side, as we’ve said before, we’re not interested in any major acquisitions, but we do have minority interests in Odyssey and Allied that--you know, companies that we know really, really well, performing very well, so over time we’d like to buy back those minority positions. Then we still think our stock price is very good value, and we’ll continue to buy back our shares but not at the expense of our financial strength. Next question, please?
Operator: Thank you very much. As I have no further questions, I would like to turn it back to management for any closing remarks.
Peter Clarke: Well, if there are no further questions, thank you for joining us on our first quarter 2025 conference call. Thank you, Fran.
Operator: As we are concluded, thank you everyone for your participation. Please disconnect at this time.